Operator: Welcome to the Q1 2014 Gildan Activewear Earnings Conference Call. My name is Bectiva and I will be your operator for today’s call. (Operator Instructions). Please note that this conference is being recorded. I would now turn the call over to Sophie Argiriou, Vice President of Investor Communications. Sophie, you may begin.
Sophie Argiriou: Thank you, Bectiva. Good afternoon, everyone and thank you for joining us. Earlier this afternoon, we issued our press release announcing our earnings results for the first quarter of fiscal 2014 and our interim shareholder report containing management’s discussion and analysis and consolidated financial statements. These documents will be filed with the Canadian Securities Regulatory Authorities and the U.S. Securities Commission and are available on our website at www.gildan.com. With me on the call, I’m joined by Glenn Chamandy, our President and Chief Executive Officer; and Laurence Sellyn, our Executive Vice President and Chief Financial & Administrative Officer. Our call today will begin with Laurence taking you through our first quarter performance and our business outlook for the fiscal year after which, a Q&A session will follow. Before we begin, please note that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company's filings with the U.S. Securities and Exchange Commission and Canadian Securities Regulatory Authorities that may affect the company's future results. And with that, I'll turn the call over to Laurence.
Laurence Sellyn: Good afternoon. This afternoon, we announced our results for the first quarter of fiscal 2014, which were at the top end of our guidance range. Adjusted EPS of $0.35 per share were a record for the first quarter of a fiscal year, which is seasonally the lowest sales quarter in the fiscal year for T-shirts. Q1 was the sixth successive quarter of record quarterly sales and earnings. We also reiterated our prior guidance for sales, earnings, capital expenditures and cash flow for the full fiscal year and introduced our guidance for the second fiscal quarter. Compared to a strong first quarter of fiscal 2013, adjusted EPS were up by 9.4%. The growth in EPS was primarily driven by growth in sales revenues of 7.3% Net sales for Printwear increased by 7.4% due to a 5.9% increase in unit sales volumes and more favorable product mix, partially offset by lower net selling pricing and higher seasonal distributor inventory destocking compared to the first quarter of last year. Inventory for the U.S. distributor channel at the end of the first quarter were in good balance in relation to anticipated sales demand from screenprinters. International Printwear sales volumes which we have identified as an important growth opportunity for the company grew by more than 30%. Operating income for Printwear in the first quarter was $48.3 million. Operating margins were 18.4% compared with 18.8% in the first quarter of last year. Net sales for Branded Apparel increased by 7.1% compared to the first quarter of last year. The growth in Branded Apparel sales was driven by continuing strong consumer demand for Gildan branded underwear and continuing market share penetration by Gold Toe branded socks. Sales of Gildan branded programs more than doubled from Q1 2013 as consumers quickly embraced the strong value proposition of our branded products and we continue to support our brand with advertising. Sales of Gold Toe branded programs were up by approximately 15% as a result of our investments in marketing and advertising to reenergize the Gold Toe brand and leverage the brand and brand expansions into other product categories. The strong growth in Gildan and Gold Toe branded programs was partially offset by lower private label sales mainly due to the exit from a private label underwear program and lower sales to global lifestyle brands as we transition to new long-term programs with major customers. The sales growth for Branded Apparel was achieved in an overall macro environment of continuing weak retail sales demand and careful management of inventory with replenishment by retailers. Operating income for Branded Apparel was $21.9 million up 11.7% from last year. Operating margins were 11.6% compared with 11.1% in the first quarter of last year. The impact in our consolidated results for Q1, our prior sales revenues was partially offset by increased SG&A expenses and higher income taxes. SG&A expenses increased to $72.8 million from $69.4 million last year due primarily to higher expenses for then marketing and advertising. SG&A expenses declined as a percentage of sales due to increased sales volume leverage on SG&A expenses in Branded Apparel. Excluding the impact of restructuring and acquisition related costs, the consolidated income tax rate increased to 5.7% from 4.4% in the first quarter of last year, primarily due to the improved operating income for Branded Apparel. We have maintained our full year guidance of adjusted EPS of $3 to $3.10 per share, our net sales of approximately $2.35 billion. Compared to the assumptions in our initial guidance, we are now assuming higher cotton costs in the second half of year due to the recent increase in the cost of cotton as well as additional inflationary cost increasing. These cost increases compared to our prior guidance are projected to be offset by slightly higher net selling prices. EPS in the second quarter of fiscal 2014 are projected at $0.61 to $0.64 per share up 3.4% to 8.5% from the second quarter of last year. Gross margins in Q2 are projected to be lower than the second quarter of fiscal 2013, as higher cotton cost compared to last year are not currently projected to be recovered in higher selling prices. Gross margins for the second quarter are also expected to be impacted by short term transitional costs being incurred as a result of projects to further improve the efficiency and product capabilities of the former Anvil textile facility and the company stock manufacturing operations. These costs inefficiencies and higher year-over-year cotton costs are also expected to impact gross margins in the third fiscal quarter, which is a peak summer selling season for T-shirts. As stated in our column November, we expect to end the year with strong momentum in sales and earnings. Fourth quarter sales are expected to benefit from new retail programs and gross margins in the fourth quarter are expected to be favorably impacted by increased manufacturing efficiencies. In addition, cotton costs in the fourth quarter are expected to be comparable to the fourth quarter of last year. Consequently, gross margins and EPS are expected to increase sequentially in success of fiscal quarters during the balance of the current fiscal year. On our November call, we indicated that the in year impact of new retail programs in fiscal 2014 is expected to amount to approximately $100 million. New retail programs which will impact sales and earnings in the second half of the year include new underwear and activewear programs and an increase in shelf-space for our major national Gildan branded underwear program, expanded distribution of Gildan Platinum underwear for national chains and department stores and the new fleece program for Gildan Smart Basics. We have also secured programs for G brand activewear in national chains and department stores in 2013 and further new placement have been obtained for fiscal 2014, including a new fleece program in a major national chain. We have secured a national program for the Mossy Oak brand for underwear and are continuing to attract a high level of interest for Mossy Oak in multiple channels of retail distribution. We are also continuing to introduce new high value products in the U.S. Printwear market. In particular we have repositioned the Anvil brand based on contemporary ring-spun products and the market is excited about the introduction of Gildan’s core performance product line. Our brands in both Printwear and Branded Apparel are underpinned by our continuing major capital investments in our vertical manufacturing for capacity expansion, new product technology and major cost reduction projects. As we indicated when we initiated our fiscal 2014 guidance in November, we are investing $300 million to $350 million in capital expenditures this year for new yarn spinning facilities including the South Spring, North Carolina ring-spun yarn facility which will begin to ramp up production in the second quarter, the ramp up of Rio Nance I, the reconfiguration and upgrading of the equipments in the formal Anvil facility in Honduras, new sewing facilities, further investments in energy saving projects, the new distribution centre in Honduras and the initial investments in our planned mixed Greenfield textile facility in Central America. We expect to finalize our decision on the site to this facility and complete the purchase of the land by the end of the current fiscal quarter. These capital investments will further reinforce our position as a global low cost producer of basic family apparel as well as further differentiate our product quality and further reinforce the value proposition of our brands, which is to provide better value for money, lower cost to consumers, better product quality and design features and better product durability. Our superior value proposition is reflected in our current momentum in achieving new retail distribution and the strong performance of our brands in selling through to consumers. We indicated that the November that we expect to generate $100 million of further annual cost savings, net of depreciation expense from these manufacturing projects. The savings are expected to phase in gradually in this period 2015 to 2017. The three main drivers of our long-term growth in share value are the positioning of our brands to drive continuing top line sales growth in both Printwear and Branded Apparel by continuing investments in manufacturing cost reductions and the utilization of our free cash flow and unused debt capacity. We believe we have opportunities to compliment our organic growth with acquisitions. We ended the first quarter with significant unused debt capacity and we are projecting to continue to generate free cash flow after self financing our capital investments in capacity expansion and cost reductions, including $50 million to $100 million of free cash flow in fiscal 2014. As previously discussed the focus of our 2014 strategic planning will be on strategic acquisition opportunities and utilization of cash in order to further enhance shareholder value and EPS growth.
Sophie Argiriou: Thank you, Laurence. And that concludes our formal remarks on the first quarter results. Before moving to the Q&A session of the call, I ask that everyone please limit the number of their questions to two in order to give everyone the opportunity to ask a couple of question. We will circle back if time permits for any additional question. I will now turn the call back over to the operator to begin the question-and-answer session.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). And our first question is going to come from Anthony Zicha from Scotiabank. Please go ahead. Your line is open.
Anthony Zicha - Scotiabank: Hi, good afternoon. Glenn can you give us a bit of color in terms of retail initiatives with reference to your prospects potential, new contract wins? And also if you could give us some comfort in terms of sharing with us the NPE data in terms of market share and shelf space?
Glenn Chamandy: Okay. Well I mean as far as the prospect and new wins, Laurence covered quite a few of our opportunities for this year. And we’ve got about a $100 million of obviously new business in year which means that these programs on annualized basis will be more than $100 million because most of them are back-ended and have flow to next year. We have expanded our underwear space at mass under Gildan; we have expanded significantly our regional counts in all categories underwear, activewear and socks. Our Platinum Gildan is now going to be rolled out in both socks and underwear for this year. We are getting more expansion in smart basis to the dollar chains. And our Gold Toe business is really doing well. I mean, we have seen the really resurgence in Gold Toe. It’s the number one brand in department stores again and we’re levering that strength into not just socks but when we were successful in underwear and now we’ve actually got some underwear programs, sorry, some activewear programs in which we had T-shirts and now we’re expanding into police. And Mossy Oak for us is way exceed our expectations in terms of this potential would be -- we demanded a significant program in mass and underwear and we have pretty well, I think in all channels of distribution, big opportunities to place the brand. So it’s not one thing and that’s what’s great about our strategy. I think that as we go forward, everything is -- our momentum is accelerating and we think that as we move into ‘15 not only we are going to benefit from the spillover from ‘14, but we will have a significant -- greater opportunities with all the momentum we have developed over the last two years. And as far as [NPD,] we are not prepared to share that right now, but as we go forward into future calls, we will start providing information. But at this point in time, we prefer not to give that information.
Anthony Zicha - Scotiabank: Okay. And my second question relates to could you give us some details in terms of cost that are related to improved operating efficiencies, which facilities have been impacted?
Glenn Chamandy: Well, with the inefficiencies for us which some of them were planned; I mean what we ended up having is we had slightly more negative efficiencies than we anticipated but slightly and it’s mainly due to the development of our sock. When we went on our tea, we had some sock machines that were still coming in, they were late. So, we lost a little bit of capacity. And also in that plant where we can figure it to make more added value products which is just taking a little bit more time to anticipate it, but nothing significant. And also in the Anvil facility or we’re modernizing that plant and putting in new technology to support our global lifestyle brands. And we had a slight inefficiency as well. So there is not a huge amount but it’s anticipated some inefficiencies, we are just little bit greater than we anticipated.
Anthony Zicha - Scotiabank: Okay. Well, thank you very much.
Operator: Thank you. And our next question is going to come from Martin Landry from GMP Securities. Please go ahead, your line is open.
Martin Landry - GMP Securities: Good evening. Your EPS growth seems to be quite back end loaded, a little more than I expected previously. And you mentioned that your Q4 is going to be quite strong with strong sales momentum and strong margins. I am wondering how much visibility do you have on your Q4 numbers?
Glenn Chamandy: Well, maybe I’ll answer first the first part of the visibility, because most of these programs are basically locked in now for the full year, our pricing is locked in for the year in retail and basically we feel very comfortable at this point with our programs. I mean -- and we are still driving, there we obviously get additional programs which most may come towards the end of the year but basically everything is locked and ready.
Laurence Sellyn: Yeah, I think we have pretty good visibility in all of the factors that will drive the EPS and the margins in the fourth quarter in addition to the retail sales programs, our cotton cost for the balance of the year are pretty well fixed. And we have good visibility on the manufacturing efficiencies that will be the other factor significantly impacting the margins and EPS.
Martin Landry - GMP Securities: Okay. And maybe just on the Printwear segment, I was just looking at your operating income margin; it seems to have decreased on a year-over-year basis and despite the fact that you have lower cotton cost and better product mix. How comfortable are you that that pricing will stay sustained this year in that channel?
Glenn Chamandy: It’s a very marginal decrease that relates to lower selling pricing.
Martin Landry - GMP Securities: Okay. So what’s your levels…
Glenn Chamandy: Slightly higher SG&A as well.
Martin Landry - GMP Securities: Yeah. What’s your level of confident in terms of pricing, because in the past we’ve seen that this is a channel that’s a little bit price sensitive; I mean how are conditions right now and how is the outlook?
Glenn Chamandy: Well, first of all, it’s price sensitive but it also has been price sensitive relative to inflation and deflation. So, the reality is that conditions right now in the market are stable. We have mid single digits of growth and pricing is relatively stable. And there is a headwind of inflation that we've got a little higher cotton cost; there are other types of inflation in the market. So, we think that with inflation, pricing will be relatively stable as we go forward. The only thing I would say is January is currently off to a little slower start, but we think that's little bit weather related, it's been pretty cold out there. So, but we're feeling pretty good about business overall. And we're pretty comfortable with our pricing positioning and the overall macro almost of the market itself.
Martin Landry - GMP Securities: Okay. Thank you very much.
Glenn Chamandy: Thanks.
Operator: Thank you. And our next question is going to come from Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod - BMO Capital Markets: Hi, good evening.
Glenn Chamandy: Good evening.
Stephen MacLeod - BMO Capital Markets: Just wanted to follow up on some of the branded apparel; you mentioned that you had lower sales at global lifestyle brand. Is that just a sort of hiccup in the quarter or what was the driver of that decline in the quarter?
Glenn Chamandy: That's just a timing thing basically and it's not a significant amount but it's just -- it's a function of timing and we're very comfortable for the full year, we'll achieve our goals there.
Stephen MacLeod - BMO Capital Markets: Okay, great. And then with respect to the other [counts] in your prepared marks, you mentioned that acquisitions would continue or maybe even more so than previously be a strategic focus for 2014, 2015. Can you just remind us what sort of targets you're looking for and what’s currently going on that side of the business?
Glenn Chamandy: Well, right now I think what we said in the past is that any acquisition would support most likely our organic growth either through product brands, channels of distribution; I mean there is various ways we could look at acquisitions. But obviously, it’s top of mind for us right now but we’re going to continue to focus on the best opportunities to keep supporting and developing our long-term growth strategy.
Stephen MacLeod - BMO Capital Markets: Right. So, do you sort of new licenses count as acquisitions or is that in addition to the acquisition strategy?
Glenn Chamandy: That’s in addition to the acquisitions. I mean we continue to look at brands. I mean one of the things I think if you look in case of Mossy is, we’re just levering our manufacturing and our infrastructure and find ways to bring our product to market in various channels of distribution. So, Mossy is a pretty good example of real win for us, A; because when you getting license basically you don’t have the obviously basically an acquisition. But at the same time it’s going to lever all of our manufacturing, all of our skill sets and it’s a plug and play for us. So, we’re really excited about Mossy. We think it’s going to contribute significant earnings starting this year. But as we move into next year, it’s going to be pretty big.
Stephen MacLeod - BMO Capital Markets: Right. Okay. That’s great. Thank you very much.
Operator: Thank you. Our next question is going to come from Taposh Bari from Goldman Sachs. Please go ahead. Your line is open.
Chad Sutherland - Goldman Sachs: Hi, this is Chad Sutherland on for Taposh. Just starting in the printwear business, last we heard talking about that business up low single-digits to mid single-digits with 5% unit growth and 2% deflation. It sounds like with prices come up in the back half, maybe we won’t see that deflation. So how are you thinking about kind of the composition of growth in Printwear for 2014?
Glenn Chamandy: Well, we don’t think that look at to me difference between 1% or 2% of price is nothing that really affect growth. At end of the day the growth will be a function of the underlining economics of the market, (inaudible) the stock price is going to drive the difference in the growth in the market. So as we see the market today, we are very comfortable with the market and the conditions of the market. So therefore, we feel comfortable with our position.
Laurence Sellyn: Yeah, growth in every quarter is primarily driven by our unit volume growth.
Glenn Chamandy: And don’t forget a large part of our growth also in Printwear is driven by a 30% growth in international and international business is fine right now. So, one of the things we have done this year is obviously we’ve added capacity to our international markets, which is always something that’s been [clearly] sales for us. At the same time we have a limited -- we’ve also had a very limited product offering in this market. So, as we expanded more products into these markets, the direct relationship towards how well we are doing. So, our European business is doing really well, our Asian business is fine and we’re also entering new market this year. So, international is definitely going to continue to drive as well these types of incremental increases.
Chad Sutherland - Goldman Sachs: Great, thank you. And then one follow-up just on inventory it’s obviously up a little over 15% in the quarter. Does that have to do with like a particular program you are rolling out in 2Q or could you just provide some context?
Glenn Chamandy: Well, it has to do with never have an inventory seated in historically as part of our client add capacity is that that inventory to go with high of the season. So, we are going to the season with inventory both for our retail customers and our wholesale customers. And we’re very excited and a lot of that inventory also has moved to our international markets, which we didn’t support before. So, our inventory is a commitment for us to make sure that we maximize our sales opportunity.
Chad Sutherland - Goldman Sachs: Great, thank you.
Operator: And then our next question is going to come from Kenric Tyghe from Raymond James. Please go ahead.
Kenric Tyghe - Raymond James: Thank you, good evening. Glenn, just with respect to your performance apparel, could you speak to how the performance is trending within that category full year relative to your expectations and [hassle] to remind us on what your performance apparel sort of focus extra capacity will be on (inaudible).
Glenn Chamandy: Well, the answer to you it’s, I’m impressed, we’re excited about it, it’s going very well. It’s -- one of the things we did last year is we dropped the ball little bit in terms of bringing it to market on time. So, we’re just starting get leads on it right now, so it’s a little bit premature for us to really get a total hand on how well it’s going to do. But it’s meeting our expectations for sure. And as far as capacity is concerned, I mean we really don’t have a capacity or strength in making performance because it’s made on the exact same equipment as we make all of the activewear type product. So it’s going to be a function of really the demand for it in the marketplace. It’s positioned perfectly. It’s a item that's going to be selling for approximately $3 for the type of performance features that we have. So, we think it’s going to be very lucrative for us and we’re looking to expand product as we go forward. It’s just a little bit early days for us in terms of what we are today to get a full outlook.
Kenric Tyghe - Raymond James: Fair enough. And Glenn if I could then just switch gears back to international for a moment, you’ve highlighted the traction you are having there with your -- you are having capacity to service that market. Is the sort of traction you are seeing causing you to rethink what the end game here by the way of market share I know are going way back in time, you’ve commented on what you thought for reasonable levels of market share given the competitors you’re up against and given what your capabilities were. Is the traction you are seeing now that’s causing you to rethink what that range is or what that end game target is?
Glenn Chamandy: Are you talking about the U.S. market or international markets specifically?
Kenric Tyghe - Raymond James: International markets specifically.
Glenn Chamandy: I think within International markets, I mean our market share right now is very small. So I mean we have a huge runway in front of us. If you look at the size of the markets in Europe basically we have a relatively small market share even today even though that’s our second largest market. So we think that by adding product we had explained in our (inaudible) if you look at each one of these functional markets relative to the U.S. how immature we are in terms of the product offerings in those markets. And as we have product we are going to continue to grow share and not just grow share, but we are also going to grow margin at the same which will make these markets more lucrative to us. It’s a double -- we are going to grow in terms of unit volume, but also going to grow in terms of margin. I think that we have huge runway in front of us I mean some of the markets are which are blazing I mean Europe has always been a little bit more of structured market maybe not the same size as the U.S. but we are still immature in that market we have a huge runway, but other markets they just don’t have the same infrastructure as we have seen in North America and part of what’s happening is that we are developing those markets and making those markets have structure and giving an opportunity actually create an opportunity for ourselves which has proven to be quite lucrative and we are pretty excited about it. So we are entering new markets this year. Our objective is to enter two to three new markets a year. And all this combined it’s going to fuel our future and earnings.
Kenric Tyghe - Raymond James: Okay, thanks. And I leave at that.
Operator: Thank you. And then our next question at this point comes from Andrew Burns from Davidson. Please go ahead, your line is open.
Andrew Burns - D.A. Davidson: Thank, good afternoon. Could you talk about the pricing environment in the Branded Apparel side, some of your competitors are taking the pricing, just curious about your appetite and ability to take price increases in ‘14 and going forward.
Glenn Chamandy: Well, all I can say is look at the on sort of we're pretty happy with our, I think price positioning as we speak today. However, like everybody else in the industry, there is huge headwind in terms of inflationary factors, raw material. So, we're going to continue to assess our pricing strategy, but as we are today, we haven't planned any pricing, retail pricing in our guidance as we speak.
Andrew Burns - D.A. Davidson: Okay. Thanks. And in Branded Apparel you had a few years now here where you've been adding new programs, but also upgrading existing private label switching over to branded programs. So at this point, how much of your mix in that segment, is it still private label that would potentially go away or be upgraded in the coming years?
Glenn Chamandy: It's about 25%, I’m still mainly in socks. And we've done a great job, I mean going from a 100 down to 25 and obviously if you look at what we've done as a company is we've increased top-line sales, eliminated a huge amount of private label and will phase all that with our Gildan. So, I mean net-net those are huge sales in terms of divesting ourselves at private label and increasing that business with our branded business, which is close to show the strength of our brand and how we're at selling. But we'll continue to see the brand become a larger portion of, obviously of our overall sales as we go forward and private label continue to diminish.
Andrew Burns - D.A. Davidson: Thanks and good luck in 2Q.
Glenn Chamandy: Thank you.
Operator: Thank you. And then our next question is going to come from Mark Petrie from CIBC. Please go ahead. Your line is open.
Mark Petrie - CIBC: Hey good afternoon. Just to follow-up on those last couple of questions. The margin expansion on the Branded Apparel side I mean, is that all SG&A? And then can you just talk about the outlook for gross margins kind of through the balance of the year on the branded side given I think you described it as a soft retail environment?
Glenn Chamandy: (Inaudible) I’ll answer one of your questions before Laurence jumps to margins, but the retail environment for us I mean we see it somewhat choppy and we’re managing our inventory levels. And but in our cases, I mean our performance is very strong. I mean we’ve doubled our Gildan sales. Our Gold Toe sales are up 15%. So we’re pretty excited. I think the overall environment is choppy, but we’re outperforming and doing very well within a choppy environment. And then Laurence will answer your margin question.
Laurence Sellyn: Improvements in margin (inaudible) SG&A the gross margins were comparable to first quarter last year.
Mark Petrie - CIBC: Okay, thanks. And then can you just update us on the status of the Anvil facility, I mean you talked about some minor issues there. But what the capacity is now and how you expect that to evolve?
Glenn Chamandy: Yeah. Well, we’ve really done a big job in reconfiguring the facility, not only putting in new brand equipment, but we also put in a whole new type of finishing and that’s really where the part that had slowed us down -- but where we needed to be we projected to have obviously some integration and issues, and inefficiencies, they were slightly in excess of our expectations. So it’s not like we didn’t plan it, it was just cost us a little bit more because of little less capacity and a little longer to get the equipment up and running. So what we figure is that will cost us maybe a nickel of inefficiencies in Q3 as these inefficiencies run through our cost of goods sold in socks.
Mark Petrie - CIBC: And so you are still targeting 10 million dozens of capacity there?
Glenn Chamandy: Yeah. By time we finish, will be close to 10 million, yeah.
Mark Petrie - CIBC: Okay, thank you.
Operator: Thank you. And then our next question is going to come from Chase Bethel from Desjardins Securities. Please go ahead, your line is open.
Chase Bethel - Desjardins Securities: Hi, good afternoon. Just a follow up on the question earlier around Mossy Oka. So, when you initiated your guidance and you talked about the 100 million of new programs in year. At the time I believe you just signed the license agreement, so could you mention on this call that you secured significant contracts? So I am trying to just get my head on why the in year impact isn’t really materially changing this because they hit late in 4Q or was that already presumed in the 100 million when you initiated your guidance?
Glenn Chamandy: Well, we assumed very little bit and very small amount. And obviously when we issued our guidance in December, we still had a couple of open programs which we’ve completely solidify right now. So the whole 100 million is confirmed and solid at this point in time. So we projected a slight sales probability for Mossy but the fact is that we’re going to achieve that and exceed it, but it definitely coming in, in the fourth quarter. So this is going to make a big impact on us as we go into 2015.
Chase Bethel - Desjardins Securities: Okay. Thank you. And then just wanted to follow-up on the branded apparel side of the business. You’ve broken out what Gold Toe did, but can you talk more broadly around the volume changes year-over-year and socks versus activewear and underwear year-over-year?
Glenn Chamandy: I don’t think we’re going to provide that information.
Chase Bethel - Desjardins Securities: All right. Well, can I sneak in another question and maybe on Anvil, at the time that we did the tour on Honduras, you were thinking about perhaps moving that into the Rio Nance complex but as you are thinking about that all are you still looking at the possibility?
Glenn Chamandy: We’re always looking at possibilities, but right now our focus is to get the plants up and running, get our efficiencies back to normal and take advantage of the huge opportunity we have to service to globalize to our brands with the equipment we’re putting in that facility. So I think that's right now short term our first goal. And as we go forward we’ll look at the ways to reduce cost, because obviously the big saver for us is within our product is reduction of cost of delivering the infrastructure that we have in Rio.
Chase Bethel - Desjardins Securities: Okay. Thank you.
Operator: Okay. And then we have our next question, it’s going to come from Molly Iarocci from Stifel Nicolaus. Go ahead, your line is open.
Molly Iarocci - Stifel Nicolaus: Hi guys, this is Molly on for Jim. Just have a couple of questions for you. First, you had mentioned in your last call that you expect international printwear to grow about 20% in fiscal ‘14, are you guys still expecting this or have your forecasts increased after this first quarter’s performance?
Glenn Chamandy: We’d expect to be a bit higher than 20% based on the results of Q1 as I mentioned in the half.
Molly Iarocci - Stifel Nicolaus: Okay. And can I ask what percent of your Printwear is international?
Glenn Chamandy: This year we have about 200 million.
Molly Iarocci - Stifel Nicolaus: 200 million?
Glenn Chamandy: Yeah.
Molly Iarocci - Stifel Nicolaus: Okay. And then my last question is on the inventory destocking in the quarter was this something that you guys were anticipating coming into this quarter? And if not, what’s the risk of more of this going forward?
Glenn Chamandy: Well that’s seasonable, we always anticipate destocking in Q1 there is obviously it’s our lowest quarter; it was just slightly more in excess of what we expected but nothing significant.
Molly Iarocci - Stifel Nicolaus: Okay. And then looking forward, I know you said inventories are pretty clean. So 2Q…
Glenn Chamandy: Well, the news is that when you have less inventory in channel you (inaudible) going forward. So I mean we feel very comfortable with our inventory position.
Molly Iarocci - Stifel Nicolaus: Okay, alright. Thank you.
Operator: Okay. And then we have our next question, it’s going to come from David Glick from Buckingham Research. Please go ahead.
David Glick - Buckingham Research: Yes, thank you. Glenn, I just wanted to get your perspective on how the cotton price movement is, if you look at 2013 you kind of ended where we started but was fairly volatile. And obviously you lived through and the folks who follow the company was through big bubble not suggesting that we are anywhere near that. But I just wanted to get your sense of what you think is going on. There has been a lot written about China having a positive and negative impact on cotton prices and just curious kind of at this level is this a good stable level that given the cost savings initiatives that you guys have that continues to be manageable to sustain the kind of gross margins that you are achieving?
Glenn Chamandy: Well, the good news is we average the same average on a year-over-year basis, so relatively close to it. So, I mean obviously we have a consistent cotton price on year-over-year, it’s good or bad. So that's one thing. I think that the long-term prognosis of cotton, this type of range is probably realistic. The big question mark is not like I said and I think one of our calls is that not just the price of cotton, but it's also the physical, the basis, these other factors that affect the price of cotton that increase the cost and decrease the cost which a function of the supply and demand and the amount of cotton that’s available for using U.S. cotton. But the big wildcard in the day is obviously China, because the inventories have continued to increase there. But we don't know, so we got to be cautious, but yeah you have got to be careful in terms of what it can do on the upside. So, we’ve always taken approach to be conservative and we now covered ourselves for this year. And we develop our strategies as we go forward in 2015.
David Glick - Buckingham Research: Okay. Thanks. And also just in terms of your Branded Apparel strategies that relates to retailers and clearly you’ve made a lot of progress at the largest mass retailer, not as much as the other large national or mass retailer. And certainly, you've made good progress in dollar stores and starting to make progress in department stores. If you look at the growth opportunities in retail, where do you see the biggest wins from a channel perspective?
Glenn Chamandy: I think we can win in all the channels. I mean we're just in the beginning stages of our development in retail. And the only area where we really have any significant saturation is our volume I’d say for example is our sock business which we probably have a 30% share of the U.S. market. So objectively, the other categories like underwear and then activewear, we achieved the same type of penetration that we have in socks which we’re levering to get that type of market share. We’ll be a different company in a couple of years and that’s really our objective.
David Glick - Buckingham Research: Okay, great. And last one for Laurence, your original guidance had SG&A rate at 12%; is that still -- are you guys still sticking with path given the puts and takes you talked about today?
Laurence Sellyn: Yeah.
David Glick - Buckingham Research: Okay, great. Thank you very much. Good luck.
Laurence Sellyn: Thanks.
Sophie Argiriou: Thank you.
Operator: And thank you David. And then our next question is going to come from Derek Dley from Canaccord Genuity. Please go ahead.
Derek Dley - Canaccord Genuity: Yeah, hi guys. Just wanted to touch on acquisitions. What type of multiples are you guys willing to pay for some of this bolt-on acquisitions? And then can you just talk about your leverage level as well where would you guys be comfortable talking about given the health of the balance sheet you have right now?
Laurence Sellyn: We’ve communicated and reiterated the same acquisition criteria consistently. As far as pricing, we don’t -- we haven’t given that in terms of EBITDA multiples, but more we talked about IRRs and that the IRRs we would seek from acquisitions would in the risk adjusted basis be in excess of our weighted average cost of capital and better than the returns from buying back our own shares. And in terms of that leverage, we want to continue to be conservative, positive towards that leverage. We’re not going to over leverage our balance sheet to do acquisitions. And that is one of the criteria that we’ve communicated.
Derek Dley - Canaccord Genuity: Right. So would that be sort of one-times or two-times of that going to be the match [wrestle] for you guys?
Glenn Chamandy: We don’t want to get into it right now, because we don’t parse ourselves in the corner, because obviously look we are also a growth company, but we will always maintain some amount of very conservative balance sheet. And we are looking to grow the company and it depends on the opportunity that we are looking at. And, but we wish (inaudible) at this point.
Derek Dley - Canaccord Genuity: Okay. Fair enough. And then just finally, just in regards to partner you guys bought all for the full year?
Glenn Chamandy: We’ve covered our costs in fiscal ‘14, yeah.
Derek Dley - Canaccord Genuity: Okay, great. Thank you very much.
Operator: Thank you. And our next question is going to come from Brian Morrison from TD Securities. Please go ahead.
Brian Morrison - TD Securities: Good evening. When you take a look at the $100 million cost cutting exercise, should we assume that there is a straight line from 15 to 17 and we can look where the capital is being spent. So, what are the initial items where savings are going to be realized in 2015?
Laurence Sellyn: Well, what’s happening in ‘15 basically is really we’re going to see the effects of all the initiatives from this year and flowing to ‘15 and then so forth into ‘16 and ‘17. But I would say that it’s pretty much going to be (inaudible) pretty well going to even -- I would say across the threshold maybe a little less in the first year, but more in 16 to 17. That’s from the big plants come on to the big trend on investment. We are making ‘14 really -- and maybe we’re spending this year we’ll complete next year and that by the time it gets to a cost of goods sold will be 16 plants.
Glenn Chamandy: What was that cadence (inaudible) equally over the three years, so I’m comfortable with that.
Brian Morrison - TD Securities: Okay. And then just to follow-up, you covered the prospects in great detail earlier, but I missed them on the global lifestyle and you did follow-up with these huge opportunities down [100] stores with the discussion about material increase in the segment call it $400 million to $500 million in revenues over certain timeframe. Is there any progress report with your key corporate customers on that front?
Glenn Chamandy: No, no we are very excited about that and nothing has changed obviously in (inaudible) non-divestiture, but we’re very comfortable with our positioning and well making the right investments in order to support this business and we are very comfortable of the prospects and opportunity.
Brian Morrison - TD Securities: Thank you.
Operator: Thank you. And our next question is going to come from Sabahat Khan from RBC Capital Markets. Please go ahead.
Sabahat Khan - RBC Capital Markets: Thank you. My first question is I want to talk to you some of your various retail accounts in last merchants, discounters, sporting goods retailers or some of the department store guys. Is there a difference in their sense of optimism or pessimist some about respective businesses in the year ahead?
Glenn Chamandy: Well, I don’t know, look everybody is consciously optimistic; I mean business was a little bit choppy in holiday. I think the season was a little bit shorter during the holiday season, because where the holidays landed and so retailers loss a little bit of sales. They are managing inventories, but really we’re up to a new start for the New Year right, because most of retailers obviously losing up their buy periods after January. So I think cost is optimistic, the weather is not healthy much, I mean (inaudible) until this year, but the time it’s been pretty cold, so I think that -- but that's I think where we see it. I mean one thing for sure is that they are looking for people to create opportunity and that’s really the big opportunity for Gildan because our value proposition by offering better quality products at better prices and delivering superior quality it’s just what they are looking for especially in a choppy market, which is proven by our sales and Gildan being up 100% and our corporate business being up 15% even in a pretty weak market has proven that our advertising, our brand positioning levering our low cost manufacturing and the relationships we’ve been able to build with these national retailers is paying off and we’re very excited about not only ‘14, but we are really excited about how we are going to enter ‘15.
Sabahat Khan - RBC Capital Markets: Okay. Thank you. And my second question, should we be thinking about CapEx running at $300 million to $350 million level just given the savings that you talked going through 2015 and through 2017?
Glenn Chamandy: I don’t think we want to guide right now to CapEx, but ‘15 will obviously be a still significant year for us because a lot of the projects that we announced would flow into ‘15. So, ‘15 will be -- we have our new hub in the sector, so we have a quite a bit of capital that we will be deploying in ‘15. But I don’t want to give a number at this point in time and we won’t give you guidance.
Sabahat Khan - RBC Capital Markets: All right. Thank you. That’s it from me.
Glenn Chamandy: Thank you.
Operator: Thank you. And our final question is going to come from (inaudible) from Morningstar. Please go ahead.
Unidentified Analyst: Hi. In the past you mentioned that the results were impacted by capacities constraints specifically in sleeves and in the international markets. I think you mentioned earlier that international capacity was easing a little bit. How much of an influence is the capacity still on your international expansion plans?
Glenn Chamandy: Well it’s not; we don’t have a separate capacity for international or [fleece], we have one total capacity. And what's been our issue is that we've never really had the enough capacity just to put over our markets and the growth in those markets. So, as we bring on this additional capacity with the build up a real one, we now have more capacity available to support the real true demand of this market. So, and that’s we've seen -- let it away when we projected in Europe that we'll have a 20% increase and that's how we’ve gone for 30%. And hopefully we'll continue to see bigger increases as we have more product in that marketplace. At the same token, we're doing the same thing in fleece as we continue to make sure we ramp up fleece so that we can support the seasonal share. So, we have the capacity to generate the volume that’s in our guidance. And we're very comfortable at positioning. And that's a reflection also of the level of inventory that you see on the year-over-year basis, we're carrying more inventory which is a function of building the capacity, building inventory because the height of our season basically comes in June and July basically. So we need that inventory now to support the height of summer sales season. So, we're relatively in good shape and we're excited.
Unidentified Analyst: And is the (inaudible) mostly being used to separate your Asian business and are you pretty comfortable with the capacity there to meet that need?
Glenn Chamandy: Yeah, because it could also support a little bit our European business, but as our Asian business grows, it's going to support more of it. And as we build up Rio Nance I we're producing a lot of the risk on products that we can also ship from our Rio Nance I facility. So, we now have ability to ship those products out of not just Asia, but we build it out of our Rio facility. And also we're bringing online our Salisbury plant which is (inaudible) a very large raised on plant making beyond we need to service those markets. So, from a supply chain perspective I mean we're in a much better shape now than we ever have been.
Unidentified Analyst: Perfect. Thank you.
Operator: Thank you. We have no additional questions at this time.
Sophie Argiriou: Thank you. Before ending the conference call, I would like to remind you that Gildan will be holding its Annual Shareholders’ Meeting tomorrow at 10:00 AM Eastern at the Centre Mont-Royal in Montreal and therefore we won’t be available for questions tomorrow morning. However, we will be available this evening for the next little while to take any follow-up questions you may have. Once again, thank you for having joined us tonight. And we look forward to speaking with you soon. Have a great evening.
Operator: And thank you ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may now disconnect.